Operator: Good day, ladies and gentlemen. Thank you for standing by. Welcome to the Rush Street Interactive Second Quarter 2025 Earnings Conference Call. [Operator Instructions] Please note that this conference call is being recorded today, July 30, 2025. I will now turn the call over to Kyle Sauers, Chief Financial Officer.
Kyle L. Sauers: Thank you, Operator, and good afternoon. By now, everyone should have access to our second quarter 2025 earnings release. It can be found under the heading Financials Quarterly Results in the Investors section of the RSI website at rushstreetinteractive.com. Some of our comments will be forward-looking statements within the meaning of the federal securities laws. Forward-looking statements are not statements of historical fact and are usually identified by the use of words such as will, expect, should or other similar phrases and are subject to numerous risks and uncertainties that could cause actual results to differ materially from what we expect. We assume no responsibility for updating any forward-looking statements. Therefore, you should exercise caution in interpreting and relying on them. We refer you to our SEC filings for a more detailed discussion of the risks that could impact our future operating results and financial condition. During the call, we will discuss our non-GAAP measures, which we believe can be useful in evaluating the company's operating performance. These measures should not be considered in isolation or as a substitute for our financial results prepared in accordance with GAAP. We will be discussing adjusted EBITDA, which we define as net income or loss before interest, income taxes, depreciation and amortization, share-based compensation, adjustments for certain onetime or nonrecurring items and other adjustments that are either noncash or are not related to our underlying business performance. A reconciliation of these non-GAAP measures to the most directly comparable GAAP measure is available in our second quarter 2025 earnings release and our investor deck, which is available in the Investors section of the RSI website at rushstreetinteractive.com. For purposes of today's call, unless noted otherwise, when discussing profitability, EBITDA or other income statement measures other than revenue, we're referring to those items on a non-GAAP adjusted EBITDA basis. With me on the call today, we have Richard Schwartz, Chief Executive Officer. We will first provide some opening remarks and then open the call to questions. With that, I'll turn the call over to Richard.
Richard Todd Schwartz: Thanks, Kyle. Good afternoon, and thank you for joining us today. I'm excited to report that we've delivered another record quarter across the board with new highs in revenue, profitability, EBITDA margins and active player counts. This marks our ninth consecutive quarter of improving both revenue and adjusted EBITDA for the preceding quarter, underscoring the consistency and strength of our business model. Notably, adjusted EBITDA grew 88% year-over-year, driven by strong performance across our business, growing revenue 22% versus a year ago. This is an acceleration in growth compared to Q1, which is particularly notable given Q2 had a full quarter of Colombian bonusing headwinds, and we lapped the Delaware launch at the beginning of this year. This impressive growth was driven by strong broad-based performance across our business. Online casino revenue grew 25% during the quarter, while online sports betting grew 15% compared to the same period last year. This consistent balanced momentum across product verticals underscores our ability to create engaging high-quality experiences that attract and retain high-value players. In North America, our emphasis on markets that include online casino continues to drive exceptional performance. MAUs in these markets grew by over 30% in the second quarter. Even when excluding Delaware, we still saw growth in the high 20% range, which marks our highest growth rate since 2022 for all of our other iCasino markets in North America. This strong momentum reflects the effectiveness of our focus on markets where we can deploy our full suite of gaming offerings and maximize player value. In Latin America, we continue to see tremendous momentum with MAU growth exceeding 40% year-over-year, even when comparing to the Copa America period last year when we experienced higher player engagement. This growth continues to demonstrate the strength of our platform and brand in the region. Looking at some of the highlights and our standout market performances. In the U.S., Michigan grew 42% year-over-year, accelerating from Q1. West Virginia grew 47% year-over-year, the fastest growth we've seen in several quarters. And Delaware grew 74% year-over-year, showing continued momentum in our sixth full quarter since launching. In Canada, Ontario grew 25% year-over-year, the fastest growth rate in 2023. And in Latin America, Colombia continued its great momentum with GGR up over 70% year-over-year, while net revenue was about flat due to higher bonusing in response to temporary tax. And Mexico grew over 125% year-over-year and an impressive 40% sequentially from Q1. Looking ahead in the near term, we're excited about our expansion plans in Alberta, where we anticipate launching when the market opens next year. This market represents a significant opportunity for us to leverage our success in other North American online casino markets. Additionally, we recently launched multistate poker with shared player pooling across markets. In a short period, we went from no presence in the poker space to establishing BetRivers as a high-quality competitor across 4 states, and we are very proud of our team and what they've accomplished. The product and operations are thoughtfully designed to deliver a great user experience while serving as a valuable amenity that supports cross-sell and engagement to our casino and sportsbook offerings. Our platform features unique functionality that encourages fluid cross-play, enabling our poker customers to play casino games and bet on sports without leaving the poker table. In addition, our partnerships with Poker ambassadors, Phil Hellmuth and Phil Galfond have generated significant brand recognition for BetRivers and created fun, authentic ways to connect with our customers. Looking ahead, we have great confidence in our business. The positive momentum across our markets are far outweighing any headwinds from increased taxes in the U.S. and Colombia. As a result, we are raising our full year revenue and EBITDA guidance, which Kyle will cover in more detail. With that, I'll turn the call over to Kyle.
Kyle L. Sauers: Thanks, Richard. As Richard mentioned, the second quarter marked another record-breaking period for RSI with revenue reaching $269 million, up 22% year-over-year. This top line growth was fueled by strong performance in North America, where MAUs grew to $197,000, up 21% from the same period last year. ARPMAU also hit a new quarterly high since going public of $391. As highlighted earlier, our online casino markets led the way with MAU growth exceeding 30%, reinforcing the strength of our strategy of prioritizing higher-value opportunities. In Latin America, MAUs reached $403,000, up 42% year-over-year. It's worth noting that June and July of last year had higher player counts due to Copa America, making this growth even more impressive. ARPMAU in the region was $30, which was impacted by higher bonusing in Colombia. Moving down the income statement. Gross margin for the quarter was approximately 35.3%, up about 80 basis points year-over-year. This improvement reflects our ongoing revenue diversification and higher growth in our higher-margin markets and partially offset by the temporary VAT tax impact in Colombia. Our marketing efficiency continues to be a highlight of our performance. Marketing spend for the quarter was $36.2 million, representing less than 14% of revenue, our lowest mark since going public. This is particularly remarkable given that we achieved our largest quarter in history for first-time depositing customers despite having not launched any new North American markets since the end of 2023. G&A expenses were $18.7 million for the quarter, up 1% year-over-year, continuing to gain leverage as we scale the business. Adjusted EBITDA reached a record $40.2 million, demonstrating the strong flow-through from our revenue growth to the bottom line. In fact, this is our highest flow-through in the past 5 quarters. Our balance sheet remains exceptionally strong. As of quarter end, we increased cash to $241 million and remained debt-free. Year-to-date, we've generated approximately $41 million in cash, excluding stock repurchases and stock withheld for employee tax obligations on [ vestings ]. During the quarter, we repurchased $2.5 million of stock under our previously announced program. And year-to-date, we've repurchased 733,000 shares at an average price of $10.41, with approximately $42 million still available under our current authorization. You also noticed in our financials this quarter, a couple of onetime noncash tax-related items. Thanks to our strong financial performance as measured by net income and our expectations for continued profitability, we're now required under accounting rules to recognize a deferred tax asset of approximately $145 million. This asset reflects the expected future tax benefits from prior period cumulative net operating losses and our tax receivable agreement, both of which can be used to help offset future taxable income. This asset is partially offset by the tax receivable agreement liability payable to previous holders of our Class B shares in the amount of $114 million. It's important to note that this liability only results in cash payments when actual tax savings are realized over time. Both items are noncash this quarter, and we have excluded them from our EBITDA and EPS calculations in the tables in our financial statements. Based on our strong performance, we're raising our full year revenue and EBITDA guidance. We now expect 2025 revenue to be between $1.05 billion and $1.1 billion with a midpoint of $1.75 billion, representing a 16% year-over-year increase. For the full year, we anticipate adjusted EBITDA to be between $133 million and $147 million, which represents $140 million at the midpoint, up 51% year-over-year. Our guidance ranges for revenue and EBITDA continue to include a range of potential outcomes from the temporary VAT tax in Colombia with the continued assumption that the tax lasts through the end of the year. And one last reminder, our guidance includes only those markets that are live as of today. And with that, Operator, we can open the line for questions.
Operator: [Operator Instructions] Your first question comes from Bernie McTernan with Needham & Company.
Bernard Jerome McTernan: Maybe just to start, I would like to just make sure we understand what's going into the guide in terms of taxes. So given the higher state taxes in a variety of states in the second half, what are you guys assuming? And then any specific comments on what your strategy is going to be in Illinois? And then I have a follow-up as well.
Kyle L. Sauers: Thanks, Bernie. I'll take that one. So in terms of the tax changes that have happened in Illinois and New Jersey, that's -- obviously, we've raised the guidance pretty significantly for both revenue and EBITDA, but it's -- those full impacts are included in the guidance. We're also -- we have included in our EBITDA guidance a continued headwind from the temporary VAT tax in Colombia. So for purposes of guidance, we've included VAT tax being in place through the end of the year. And then on Illinois, just in terms of the strategy there so far. We haven't shared plans yet on exactly what we plan to do. We're trying to make sure that we're blending goals of a great player experience, but also appropriate economics for us. What we have done to date is we've moved the minimum bet up to $1. So that's the move thus far, but we're remaining flexible to figure out the right way to approach it as we get towards NFL season.
Bernard Jerome McTernan: Understood. That's really helpful. And then I just wanted to move over to LatAm and the growth rates that you described in Mexico were quite impressive. So just wanted to maybe understand where you see the glide path is to revenue and the opportunity to continue to scale just given the population GDP per capita per there relative to Colombia.
Richard Todd Schwartz: Sure. I'll start here and then Kyle can add in. We expect Mexico over time to be one of our largest markets, certainly in Latin America and one of the largest markets we have given the population size being multiples of Colombia. We continue to be ahead of where Colombia was in terms of revenues for the same period of time after launch. We continue to really be able to grow our casino business in that jurisdiction. We are very unique in our user experience, and I think it resonates very well with the players down there who are looking for something different and exciting and differentiated and high quality compared possibly to what you see in the market. So we are very optimistic and continue to believe that can be a very significant market for us for many years to come. I don't know if you have anything else to add?
Kyle L. Sauers: Yes. No, I think Richard said it all. I mean we've been -- we've had growth. It's accelerating there. Obviously, there's good competition down there, but we're doing very, very well. We've got a great a great partner in that market that helps us out. But there's a lot of opportunity. Richard said, it's the market size is multiples of what Colombia is. So if we get anywhere close to the success that we've had in Colombia over the years, that's a really, really big opportunity for us. So we're very, very excited about it.
Operator: The next question comes from Jordan Bender with Citizens. You may proceed.
Jordan Maxwell Bender: A follow-up to a question we often ask on these calls, and that's the use of cash. The share repurchases have been somewhat minimal year-to-date. So is there any change to the thought around using your capital to invest back into the business? Or are there any external opportunities through M&A or just new markets you would look to do just given the trajectory of the free cash flow?
Kyle L. Sauers: Yes. I'll start on that, Jordan, and then if Richard wants to add anything, he can. I think on the buyback, you're right, we've used about $8 million out of the $50 million that's authorized. We'll continue to be opportunistic there rather than perfectly programmatic. I think the biggest opportunity for us in use of cash is when we have new markets open up, particularly iCasino-led markets. And certainly, if we have more than one of those happening at the same time, I want to make sure we've got plenty of capital to invest because we know that returns are really, really strong. We've seen that time and again when we've launched iCasino markets. So that's a real need for us to make sure we've got dry powder available.
Richard Todd Schwartz: Yes. I would just add that we're committed to returning capital to shareholders as the cash flow grows in a balanced and opportunistic manner. And I think as Kyle indicated, we have a lot of emerging opportunities, I think in the future are going to exist for iCasino, and we want to make sure we're properly able to invest the maximum we need to kind of achieve the shares that we know is possible given the quality of our experience. So we're continuing to be balanced and opportunistic when there's a situation that warrants it.
Jordan Maxwell Bender: Understood. And then switching gears a little bit. Going back to Colombia, have you noted -- we've seen -- you told us about the growth rate, pretty incredible growth, but have you seen any change in the customer? And I guess what I'm trying to ask here is as we exit the VAT tax at the end of the year into '26, would you expect the market to look any different? Or is it kind of business as usual from what you saw back in '24?
Richard Todd Schwartz: Well, yes, I think we're continuing to absorb the VAT tax for the players. So the experience and the way they're interfacing with us remains the same. So there's really no change that we would expect as we move into next year other than we would have a much higher volume of players contributing a larger ARPMAU per player given the reduction in bonusing.
Operator: [Operator Instructions] The following comes from Ryan Sigdahl with Craig-Hallum.
Ryan Ronald Sigdahl: Richard, Kyle, really nice quarter. I want to stay on the last point you just said, Richard, just on Colombia. But overall, remarkable growth and margin expansion despite those headwinds from the VAT tax. So as it relates to Colombia, just when that goes away next year, is it as simple as assuming that revenue will see an immediate uplift, you'll have higher GGR conversion to NGR and revenue, and then you'll have a disproportionate uplift to margins and free cash flow because there really shouldn't be much incremental costs attached to that incremental revenue.
Kyle L. Sauers: Yes, Ryan, I'll take that one. I think that's generally right. I mean, obviously, there's a lot of moving parts, and there's a lot that will happen between now and the beginning of next year. But I think if history is a guide, we're going to continue to grow our player counts and grow that player base. So we're pretty confident in that. I think you're on the right point that we've been growing GGR over 50%. We grew at over 70% in Q2. It's actually higher than that in local currency. And prior to the VAT being in place, we were growing GGR and net revenue at similar paces. So I think there's -- it's a big headwind for us here while this tax is in place, and that obviously hits revenue and profitability. So we're pretty excited for the time when that isn't in place any longer.
Ryan Ronald Sigdahl: And then maybe just any update from a market standpoint, I guess, assume it goes away at year-end, but any confidence that it won't be extended and/or could be repealed quicker?
Richard Todd Schwartz: Sure. I mean the VAT decree expires, as you know, at the end of this year in order to -- congressional action is necessary for the VAT to continue beyond that. And the current President has tried in the past to get Congress to support this type of initiative, and he's been unsuccessful in that. So in speaking to all the experts that we do speak locally down there with, there seems to be a low likelihood, but we always prepare for all the options. But I guess at the end of the day, the other thing to reference is that there was a case -- a second hearing in front of the Constitutional Court about whether the emergency decree imposing the 19% VAT tax on online gaming to fund the effort to get increased grill activity near Venezuela in the border area. It's still -- that topic is still pending before the Constitutional Court. For legal procedural reasons, the court actually postponed recently its review of this decree, along with other emergency decree cases having nothing to do with our industry. So we're still waiting further information from the court as to when this year expects to issue a ruling on a tax decree. And there is still a chance that they could shorten the duration of it from the rest of this year to a shorter period of time. But again, we don't have a lot of additional visibility beyond what I just shared with you.
Ryan Ronald Sigdahl: Very good. And just for my follow-up, just curious, any benefit or impact you saw from the Club World Cup, specifically in Latin America, but even across your business?
Kyle L. Sauers: I wouldn't note anything particularly impactful there. One thing just to keep in mind, any time we have events like that, a lot of the rest of the activity actually stops, even though you have some exciting things that can draw in new players and creates a lot of attention, but it actually has a negative impact on the other side.
Operator:
Q - Jed Kelly: with Oppenheimer . You may proceed.
Jed Kelly: Two, if I may. Just going to the growth in Ontario, I think you said it was 25%, highest in a couple of years. Is that being driven more by you're taking some share from gray market operators or anything you can explain there? And then just on the guidance, kind of implies the back half EBITDA is in line with the first half. And if I look historically, every year, your EBITDA grows incrementally each quarter. So can you just give us a little more update on how we should be thinking about the back half and potential investments there?
Richard Todd Schwartz: Jed, yes, so I'll take the first question. I think Kyle probably the second one. We've been investing a lot of focus and energy on Ontario, as we've mentioned before. And we believe given the size of the population and the market size and being a market that appeals to us given the existence of both sports and casino. It's an area that we have been focusing on. And so I think it's hard to tell though whether our growth is at the expense of the gray or black market operators that compete in that market. Obviously, those numbers aren't as published. So it's hard to really track exactly how they are being impacted. But all we can do is focus on the fact that we're in a really large market with upside for us and making sure we continue to innovate and find ways to grow our player base in that jurisdiction.
Kyle L. Sauers: And Jed, I'll hit your second question here on just the kind of EBITDA cadence. One thing we did highlight in the prepared remarks is just how successful the marketing team has been in bringing in great players, particularly in our iCasino markets and doing so very efficiently. Having said that, we've got a lot of opportunities to do more there. So we do expect marketing spend to go up in Q3 from where we were in Q2 and then likely up again in Q4 from Q3. So I think that impacts some of that EBITDA cadence. Obviously, this quarter was fantastic. We had lower marketing spend. It's relatively flat year-over-year. It's the lowest marketing as a percentage of revenue mark that we've had, even though we had our largest number of first-time depositors ever. But I expect that amount to that the absolute dollar amount of marketing to go up in Q3 and Q4. We'll still get leverage over the marketing line in Q3 and Q4 would certainly be my expectation, but we will spend some more. That's probably the biggest driver.
Jed Kelly: And was there anything to call out in the second quarter from higher holds in sports betting for a positive impact on EBITDA?
Kyle L. Sauers: Yes. So it's probably pretty well published. The sports outcomes were certainly better in Q2 for operators than they have been for a few previous quarters. So North American hold in sports probably picked us up around $5 million in revenue during Q2.
Operator: The following comes from David Katz with Jefferies.
David Brian Katz: Congrats on a very strong quarter. I really would like your perspective on the prediction markets. It comes up consistently, not just in our conversations with investors and with some of peer operators, et cetera. Not a will you or won't you question, but what do you make of all this?
Richard Todd Schwartz: Yes, David, good question. Thanks for it. We're monitoring very closely like everybody else is in the sector. There's a lot of moving parts as I have been referenced in a lot of prior discussions with other folks in our industry and other earnings calls. And at the end of the day, for us, we are a casino-first company. So we don't see the same risks to our existing business as others do. Clearly, when you're offering products that are both sports related in similar ways and you have your state regulators sort of in part of lawsuits against the federal approach, it's a very delicate situation, a balance between retaining your existing sportsbook infrastructure at a state level and perhaps having a national approach through a prediction market approach. So I would say that for us, in particular, it doesn't have the same risk as others. But the contrary, if prediction markets increase the chances of tax dollar erosion for states that have legal online sports betting, I think a very real possibility is that it could accelerate the legalization of iCasino, which doesn't have the same level of risk. So it provides a more protected category for states who want to have some meaningful revenue upside for the taxes for their state. So I think it could work out well for us ultimately in the sense that our top priority is legalizing more additional iCasino states and opportunities for online casino legalization. And I think this could give a nod towards that being another reason why states should do it.
David Brian Katz: Understood. And I know I've asked this question a bunch of times in meetings and not so much here. But scale always seems to be a critical element. And to some degree, it's part of your strategy in combining iCasino and sports in states where you have it available. Do you think about strategies to sort of add scale to what you have and what benefits that might bring, obviously, at some cost? And any perspectives that you can share, obviously, in an unspecific or qualitative way?
Richard Todd Schwartz: Yes, sure. I'll take that one. We've been working on this platform for over 20 -- sorry, over 12 years. And our focus from day 1 has been on high quality and differentiation. And so if you can execute on differentiation, which is a difficult thing to do in our industry, where a lot of the content is commoditized in some ways. If you can build things that are truly unique and offer a high-quality user experience, you can generate industry-leading economics like we do. And I think the best way of reflecting that is in our industry-leading ARPMAU, which continued, as was referenced earlier, was the highest it's ever been for us in North America this quarter since being public. So I think at the end of the day, our goal is to build a great experience and constantly reinvest and create first impression experiences that other products and platforms haven't designed or haven't thought of in many cases with the idea that if a player experience it, you can create a wow impact for them, and they're going to stay loyal to you and generate that incremental revenue that we talked about, the leading economics. So the answer to your question is, yes, we think about how can we get a larger volume of players engaging and using our user experience because we truly feel that we've demonstrated the quality of it. I think you can just look at the Delaware example, where we are 7x what the previous operator achieved in the last -- in their best quarter at this point from the casino based on our revenue from a run rate. So I think that's not an accident. So the answer to your question is we're always looking for ways to get a higher volume of customers through our platform because we do think based on our experience and the data that we do share that it's pretty evident that it works at a very high level.
Operator: The following question comes from Chad Beynon with Macquire.
Chad C. Beynon: Nice quarter. I wanted to ask about -- maybe let's start with live dealer, how you're thinking about that market going forward? It's grown a little bit in a few of the states that where it's permitted, still well below what we're seeing in other markets. But wondering if you could kind of touch on how you're thinking about this business short and long term.
Richard Todd Schwartz: Yes, sure. So live dealer has a meaningful part of the business segment. It obviously has a lot of room for growth and something we've been focusing more and more on is making sure we have a high variety -- not just high-quality offerings to make sure we have a really diverse set. We've done some things to improve the user experience by aggregating a lot of the games under a single lobby, whereas most of the game suppliers that provide that product really like to kind of keep their games within their own sort of encapsulated protected area so players kind of switch between the library games from a single vendor where we, of course, want to offer our players the greatest flexibility to play the greatest -- the variety of games that we have available on our site for live dealer. We also focused and invested in having exclusive content and having exclusive tables as well, integrating some of the tools available from the vendors to ensure that we can offer some fun kinds of content and rewards to our players at the tables. I think that as a company that has focused very heavily on casino in recent years, there is a chance that some of the sportsbook first brands have a higher percentage of players that can cross the table games than we do because we are not having as much of a focus on the sportsbook players as perhaps others are. That just means that we have to make sure that we develop an experience for the core casino customer that really likes that type of product. At the end of the day, the product is here for a reason. It's because a lot of players will trust the experience is seen with their own eyes, the outcome through a live streamed experience versus maybe them feeling like with a random number generator, they don't feel a trust is perhaps missing and why maybe the dealer ends up with a 21 when they have a 16. So I think there's a trust element that live dealer really has done a great job with. We have some partnerships we've been working on with some key partners there as well to try to bring some innovation to that category. So all in all, we are bullish on that on live dealer. We've made a lot of steps to try to make it a better experience for our customers, offered exclusive games, exclusive tables and really making sure we offer a very robust offering and merchandise it well for our customers.
Chad C. Beynon: And then on the margin outlook, that was helpful talking about the back half as it relates to marketing certainly makes sense given the customer acquisition cost to LTV. G&A was down first half of '25 versus first half of '24. Wondering if there's anything to call out there? And how should we think about that in the back half and how it feeds into the guidance?
Kyle L. Sauers: Yes, sure. So on G&A, last year, in Q2, we had a little bit of a headwind in foreign exchange. The reverse was true in this year's second quarter, although a more modest amount. So I'd say beyond that, we're continuing to try to stay disciplined with the investments and driving efficiencies there. I think we've probably said this for some time, but we feel like we've got the right foundation in place to drive the business in the G&A area, and we're starting to leverage that pretty nicely this year. But I would expect G&A to continue to rise sequentially as the year continues here, but also get good leverage over that line item in both Q3 and Q4.
Operator: The next question comes from Dan Politzer with JPMorgan.
Daniel Brian Politzer: First, just a follow-up on the guidance. I think the second half implied revenue growth is about 10%, 12%, given where you fall in the range, which compares with the first half growing around 20%. What's driving that deceleration? Is that -- are you just being conservative with Colombia? Or is it lapping very strong growth last year? Or anything kind of to kind of give more detail on what's driving that?
Kyle L. Sauers: Yes. So you hit on a couple of them. I think we talked about this a little bit on probably our previous call, but it probably makes sense that our revenue growth is a little bit lower in the second half. A couple of things. One is we lapped Delaware at the beginning of this year. So as this year goes on, it's logical that the growth rate is going to be -- or could slow as the year goes on for Delaware. We've got I guess it's 5 months of history now with the temporary VAT tax in Colombia. So there's still some level of uncertainty of how our competitors might approach the market, how players might react. I think Richard commented earlier, we've seen really good player engagement. Obviously, that's proven out with the player growth that we've had. But we want to leave some range of outcomes there. The second piece on Colombia is we actually have a little bit tougher comps in Colombia in the back half of the year because of the Copa America last summer, we just had massive player acquisition. In Q3 last year, Colombia player count grew well over 100%. So we're starting to lap that, and that's -- so the growth rate will be a little bit tougher in Colombia. and then obviously have the VAT situation on top of that. Just thinking about sequentially, Q2, as I just mentioned on a previous question, we had a little bit of favorable help on sports outcomes. Maybe we'll get the same in the back half, but that was around $5 million. So that's something to consider from a sequential perspective. And then I think we just want to be mindful that we're in some fantastic high-growth online casino markets in North America, and we're clearly very bullish about the opportunities, but we just want to -- we want to leave room for the possibility of slowing growth as the markets mature. I think we've all seen these markets perform really well. New Jersey being the best indicator probably of how these markets will perform long term. But we just want to make sure we've got some level of balance built into the guidance there.
Daniel Brian Politzer: Got it. That makes sense. And then just following up, in terms of the cost structure, I think cost of goods sold, it's around 65%, plus or minus of your revenues. It seems like market access fees are increasingly commoditized. Is this something that could be a material driver as you maybe renegotiate some of these market access agreements in the coming years? And I don't know if there's any kind of timetable or any parameters through which we could think about that through.
Kyle L. Sauers: Yes. it's a good question, Dan. I think there's -- you'd have to look at that kind of sports versus iCasino. And there may be a decent amount of open licenses in some of these markets for sports that had more licenses and have had some attrition to operators. That's not necessarily as true on the iCasino side. So we may see some opportunities there over time, but I'm not sure that I would count that as a material driver. I think we've got a really good path to continuing to improve our gross margins fairly consistently here for the next several years. The revenue mix continues to trend towards our markets that are higher margin. And then just structurally, we're able to improve costs with a lot of our vendors as we get scale and more new vendors come into the market and the market matures a little bit, that's an area that we've got opportunity to improve. So I feel very good about where our gross margins are going to continue to go. But in that particular area, I wouldn't think about that as a big needle mover for us.
Operator: The next question comes from Joe Stauff with Susquehanna.
Joseph Robert Stauff: I wanted to ask you on Colombia, Latin America in general in terms of your segment there. And just kind of revisit your approach to Colombia. Obviously, you had significant growth in GGR in the quarter and flat NGR. That was a similar case in the first quarter. I realize you're essentially paying the tax. I would imagine some of that user growth that you're generating there is because you're paying the tax. Can you just kind of revisit that strategy and as best you can, maybe explain it to us about what competitors are doing and what could shake out with that market stabilizing at some point later this year?
Kyle L. Sauers: Yes, Joe. So just one thing I'll just make sure it's clear to you and others is that all of the market leaders are deploying the same bonusing strategy at the moment. And so from a competitive standpoint, we felt like that's the right move to make. And it's allowed us to serve our customers very well and grow that customer base pretty significantly. So I wouldn't suggest that our ability to grow GGR or grow our player base is because we're doing something particularly more aggressive than others are. I think it's about the product that we're delivering and the experience we're delivering for customers. We continue to evaluate the strategy there, and this is -- it is a temporary tax in place. So we continue to monitor everything around that and what our competitors are doing. But this is what we feel is the right place for us to be at the moment for the long-term health of the business.
Richard Todd Schwartz: And there's a couple of things that we are doing well there, I think, that are allowing us to perform well. Again, only your own technology allows us to make changes to implement new concepts, new features, new programs to deliver custom experiences that maybe help us to address sort of the situation. And what I mean by that is, for example, -- we've really focused on some payment methods that are unique and new to the industry that we've been able to bring forward after many years of work to try to bring a capability to our experience that the players there really value. And so that's one example. We've also been really focusing on ways to reduce deposit turnover to allow ourselves to kind of optimize the performance of the players and minimize the impact of the VAT tax, reduce the amount of taxes we have to pay. So again, using our technology and operational teams embracing sort of novel ways to engage with customers to deliver results, incentivize customers in certain ways. And we think some of that effort is really making a difference for us.
Joseph Robert Stauff: Got it. And Kyle, you had mentioned in the previous answer that, okay, you have a tougher comp in the third quarter in terms of the 100% user growth that you had in Colombia. But would you expect say, this pattern and what it looked like, call it, in the first and second quarter to return in the fourth quarter?
Kyle L. Sauers: So the -- I think you're specifically talking about the headwind in Colombia growth that I mentioned just because of the user growth. Keep in mind, we had a bit of a kind of a step change in our user counts really starting late June last year when Copa America came around. We just had really massive player growth, and that has continued. We've clearly been able to continue to improve on that. But I think that the headwind for that particular piece is still there in Q4. I mean I just want to be clear, we're expecting Q4 to be our biggest revenue quarter this year. Again, that's -- I don't want there to be any confusion about that.
Operator: There are currently no other questions in queue. So I'll pass it back over to the team for closing remarks.
Richard Todd Schwartz: Well, thank you again for joining us today. We're excited about the road ahead and look forward to sharing our continued progress when we report our third quarter results this fall.
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect your lines.